Operator: Hello, and welcome to the Diana Shipping Inc. 2023 Fourth Quarter and Year-End Conference Call and Webcast. [Operator Instructions] A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Ed Nebb, Investor Relations for Diana Shipping. Please go ahead, Ed.
Ed Nebb: Thank you, Kevin, and thanks to everyone who is joining us today for the Diana Shipping Inc. 2023 fourth quarter and full year conference call. With us today from management are Semiramis Paliou, Chief Executive Officer, and she will introduce the other members of the management team. And so without further ado, I will turn the call over to Ms. Paliou.
Semiramis Paliou: Thank you, Ed. Good morning, ladies and gentlemen, and welcome to Diana Shipping Inc.'s Fourth Quarter and End of Year 2023 Financial Results Conference Call. As Ed said, I'm Semiramis Paliou, the CEO of the company. And it's my pleasure to present alongside our esteemed team, Mr. Stasi Margaronis, who is the Director and President; Mr. Ioannis Zafirakis, Director, CFO and Chief Strategy Officer; Mr. Eleftherios Papatrifon, Director. Before we begin, I'd like to remind everyone to review the forward-looking statement on Page 4 of the accompanying presentation, please. So despite market conditions being mixed during the last quarter of 2023 and in early 2024, our disciplined chartering strategy has allowed us to continue generating positive free cash flows. Within February, we have witnessed the market sentiment improving significantly. And as a result, current market conditions are more robust. In this background, we announced a cash dividend for the fourth quarter of 2023 of $0.075 per share. Turning to Slide 5. I will review with you the company's snapshot as of today. Our fleet comprises 41 vessels in the water with a total deadweight of approximately 4.5 million tons. Our fleet utilization has remained consistently high, reaching 99.7% for the fiscal year 2023, attributed to our prudent and efficient management of our vessels. Additionally, as of the end of the fourth quarter, we employed 1,018 people at sea and the shore. Moving on to Slide 6. Let's go over the key highlights from the third quarter and recent developments. We recently executed the contract for the acquisition of 281,000 deadweight methanol dual-fuel newbuilding Kamsarmax dry bulk vessels built at Tsuneishi Group for a purchase price of $46 million each. These vessels are expected to be delivered to the company in the second half of 2027 and the first half of 2028, respectively. The investment of $92 million just mentioned was showcased at the Business & Philanthropy Climate Forum during COP28 in Dubai. This presentation highlighted our commitment to reducing the environmental impact of our fleet, demonstrating our dedication to sustainable practices and initiatives. We take our role as an industry leader very seriously, continually striving to enhance our fleet and operations for the benefit of our stakeholders and the environment. In addition, our joint venture entity, Windward Offshore, has increased its investment from two to four high-spec commissioning service operation vessels, CSOVs, to be built at VARD Yard as a result of exercising its option to construct two additional vessels. Our continued participation in this venture is another reflection of our commitment to a greener and more sustainable shipping industry. These investments underscore our dedication to sustainable shipping and positions us to meet the evolving demand of our industry while reducing our carbon footprint. Furthermore, continuing the renewal and modernization of our fleet, two vessels have been sold to unaffiliated third parties. Motor vessel Artemis at a net sale price of approximately $13 million and motor vessel Houston for approximately $23.3 million. Before the end of the year, the company released its fourth ESG report for 2022, a copy of which can be found on our website. On November 20, 2023, we announced a pro rata distribution of warrants to holders of the company's common stock, of which as of February 16, 2024, 1,940,736 were exercised. The warrant distribution provided us with an opportunity to potentially raise equity in a non-dilutive manner for our existing shareholders. As of February 19, 2024, the company has secured revenue for 62% of the remaining ownership days of the year 2024, amounting to approximately $123.3 million of contracted revenues. Additionally, the company has secured approximately $31 million of contracted revenue for the year 2025, representing 12% of the available ownership days for the entire year. Ioannis will provide a more detailed analysis of our cash flow generation potential based on the current market environment. As mentioned earlier, we are pleased to declare a quarterly cash dividend of $0.075 per common share, totaling approximately $8.7 million. Finally, we are pleased to announce that our company was honored with the prestigious Dry Cargo Company of the Year Award at the 2023 Lloyd’s List Greek Shipping Awards. This recognition is a testament to the hard work, dedication and excellence of our team. Moving on to Slide 7, let's review a summary of our recent chartering activity. We have continued to implement our disciplined strategy by securing profitable time charters for eight vessels since our last earnings presentation in November 2023. To provide some detail, we have chartered three Ultramax vessels with a weighted average daily rate of $13,950 a day for a remaining average period of 401 days. Additionally, three Panamax/ Kamsarmax/Post-Panamax vessels have been chartered at a weighted average daily rate of $15,631 a day for a remaining average period of 365 days. And two Capesize/Newcastlemax vessels have been chartered with a weighted average daily rate of $21,043 per day and a remaining average period of 486 days. Slide 8 illustrates our commitment to strategically charter our vessels in a staggered manner. Our emphasis is on securing positive free cash flow through our disciplined employment strategy and positioning ourselves in a balanced way to participate in the market efficiently. I will now pass the floor to Ioannis to provide a more detailed analysis of our financials.
Ioannis Zafirakis: Thank you, Semiramis. Slide number 9 clearly shows the two main points. One has to do with the market conditions deteriorating compared to -- for the fourth quarter of 2023 compared to 2022, and you can see that on the revenue side being $60 million compared to $75 million in 2022 for the same quarter. But the other point that you can see here is that we have managed to increase our cash position in the end of the year to $161 million point something compared to $143.9 million. And also, we have managed to decrease our long-term and finance liabilities, that's net of deferred financing costs, to $642.8 million compared to $663.4 million regardless of the market conditions. Now, if we move to the next slide, you can see this slide basically on the time charter equivalent, time charter rate for the three months ended December 31, the fact that our time charter equivalent has been $15,162 compared to $21,100 in the same quarter in the previous year. Again, this is mainly due to the market condition deteriorating. If we move to the next slide, what is worth mentioning is that the improved utilization rate to 99.7% compared to 98.9% in the same quarter in -- in the same year 2022. And also, the fact that the time charter equivalent for the year has been $16.7 thousand compared to $22.7 thousand in the previous year. The daily vessel operating expenses, they have increased slightly to $5,700 compared to $5,574. What is worth mentioning also is that we have managed to keep our weighted average age to 10.5 years, although a year has passed from 10.2. Going to the income statement. I think you can clearly see that we made $0.06 in this the last quarter of 2023 compared to $0.27 in the previous year's same quarter. Of course, the main reason behind that has to do with the different market conditions. If we go to the year-end income statement, again, you can see clear here that we made $0.44 -- $0.42 on a diluted basis on -- yes, on earnings per common share on a diluted basis, $0.42 compared to $1.36 in the previous year, same reasoning behind that as explained earlier. On the balance sheet, again, we think that the cash and cash equivalents, restricted cash and time deposits of $161 million compared to $143 million shows our prudent way of balancing our balance sheet. The total debt stood at $642 million as we said. And the net debt in that situation is approximately $488 million, which we consider to be very healthy. Moving to the next slide, the debt amortization profile. This is something that we have discussed in the past. You can clearly see that we have no maturities in 2024, 2025. And we have the bond expiring in 2026, $119 million worth of bonds. We think that we have managed very well the maturities, and that gives us the next two years, the opportunity to improve the next three, four or five years our debt amortization profile. Together with the amortization profile, you can see the next slide, the balance profile. And you can see that this is steadily is going to be increasing. And especially in the 2026 year, you can see that it's going to be very healthy in order to make us not worry at all about the maturing of the bond at that time. If we talk about the breakeven cost, these are, at the moment, the free cash flow breakeven, we calculated to be at $15,800 approximately. And the average daily time charter rate of the fixed revenues for 2024 is $16,232 and that's for 62% of the days. In the year 2025, we are fixed at $19,105 per day for the 12% of our fleet days. Moving to Slide number 18. You can see in a different way that for the remaining of the year, if we use the FFAs based on February 19, 2024, there is still some way that we can create based on those rates, free cash flow of around $7 million for 2024 and for 2025, $11 million. The market since February 19 has moved a lot in the last two, three days, and these numbers are a little bit on the conservative side as we speak since the market has moved. I think with that, I will pass the floor to Stasi Margaronis for some -- for the market review.
Stasi Margaronis: Thank you, Ioannis. And from me, also a warm welcome to all the participants in Diana's first earnings call for 2024. On this slide, I'd like to mention that from our last conference call, we have brought to your attention that geopolitical events continue to have an important influence on dry bulk earnings. According to Clarksons bulker, Suez Canal transits are running about 40% below those seen during the first half of December last year. This is partially the result of several owners operators, including ourselves avoiding the area due to the increased risks of attack and consequent risk to seafarers lives. This decrease in Suez Canal transit is estimated to have increased the dry bulk rate average haul length by around 1%. The Clarksons base case forecast, assuming one quarter of disruption, factors in a 0.3% dry bulk tonne mile demand uplift for the full year 2024. This comes at the same time as Panama Canal restrictions due to draft limitations in Lake Gatun, where water levels are at critically low levels of less than 25 meters. This is another factor already driving some trade towards longer alternative routes. Turning to the time charter rate now that we are witnessing Capesize 12-month employment hire rates stands at around $26,500 per day [basis Pacific delivery] (ph) with the most recent peak being $30,000 per day seen in March 2022. Today's 12-month rate of Kamsarmax is $18,250 per day. And it was around $29,500 at the end of March 2022. For Ultramaxes, the 12-month time charter hire rate is $17,000 per day and the last peak was again $29,250 per day in March 2022. These rates are well above those reported three months ago in our last earnings call. Turning to macroeconomic considerations now. The [IMF] (ph) GDP growth forecast for 2024 provides a reasonably optimistic picture of the future, where the GDP is expected to grow by 3.1% this year and by 3.2% in 2025. China is projected to grow by 4.6% this year and by 4.1% next. India is expected to grow by 6.5% both this year and in 2025. The US might grow by 2.1% in 2024 and 1.7% in 2025. The usual anemic growth figures are forecasted for the euro area with 0.9% growth for this year and 1.75% in 2025. On another positive note, industrial production has returned to growth in several major economies, apart from Japan that is, and even the euro area is finally seeing positive monthly growth in industrial production. On the supply and demand balance now, according to Clarksons, current projections suggest that bulk carrier demand growth of about 1.6% in 2024 and may fall short of expected net fleet growth of 2.3% this year despite a modest new building delivery schedule and potential for increased demolition due to regulations and the aging fleet. However, a few other factors have the potential to support rates. These were mentioned also in our last conference call and remain so today. They are the slower speeds and ESD retrofit time for environmentally sound technologies. At the same time, a strong demand-supply ratio in 2023 means that there is very little surplus tonnage and 2024 start from a stronger base. Looking out into 2025, dry bulk trade is forecast to grow by a modest 1.6% in ton miles, but the fleet is expected to grow by just 1% next year. So overall, Clarksons sea bulk carrier supply supported with the order book steady at just under 9% of the existing fleet and the net fleet growth projected to slow from 3% in 2023 to around 1% in 2025. On the next slide, we look at demand. Starting with steel, according to World Steel, on a global basis, steel production has gone up over the last 12 months by 1.2% to 1.85 billion tons. According to Commodore Research, the last seven months have seen steel production outside China increase by 15.8 million tons year-on-year. Prior to June last year, steel production outside of China was falling on a year-on-year basis for 15 straight months. In China, most recently, steel production increased by 8% on a year-on-year basis. Seaborne iron ore trade is projected to decline marginally in 2024. In 2025, the iron ore trade is projected to remain steady at around 1.5 billion tons as global blast furnace steel production comes under increasing pressure from green alternatives while peak Chinese steel demand will remain sensitive to government policies. Seaborne coking coal trade is expected to increase by about 3% in 2024 and by about 1% in 2025 as coking coal demand in some key importing regions comes under pressure amid the transition to greener modes of steel production. Seaborne thermal coal trade is expected to contract by 2% this year and contract by a further 1% in 2025 and fall to about 1 billion tons by the end of next year. Thermal coal’s place in the wider global energy mix is likely, according to Clarkson, to come under pressure from expanding renewable energy capacity. The huge increase in Chinese imports seen in 2023, about 54%, [went to replace port] (ph) and power plant inventories. This according to Clarksons is unlikely to be repeated in 2024, while at the same time, improved hydro generation and any improvement in domestic coal production could curb coal imports even further. However, as Braemar points out that China's and India's coal imports sometimes overshadow dramatic changes in coal imports seen in other countries. Examples are Vietnam, Malaysia, and Thailand, where imports of coal jumped dramatically last year and are not expected to ease much this year due to growth factors in those countries affecting demand for pronged and reliable power generation. Grain exports are expected to grow by 2% in 2024 with a potential increase of US exports by about 7% compared to last year. For 2025, exports are expected to grow even more and reach 5% growth compared to 2024 and reach 557 million tons. The minor bulk trade after ending 2023 on a firm note are expected by Clarksons to grow by 3% in 2024, supported by potential macroeconomic improvement. In 2025, minor bulk trade is expected to increase by a further 3% and reach 2.25 billion tons. On Slide 24, we look at the supply side. Looking at the age profile for the bulk carrier fleet, about 21% of the Handymax fleet by deadweight is 15 years or older. 25% of the Panamax fleet by deadweight fall into that category and only 15% of the Capesize fleet are older than 15 years. Scrapping in 2023 came to about 5.4 million deadweight. This year, if earnings continue to improve, they might fall back to the levels seen in 2022 of about 4.3 million tons. Turning to asset values. According to Clarksons, the bulker secondhand price index increased by 11% in 2023 on the back of another year of active bulker sale and purchase market. The three-month trend of 10-year-old [case] (ph) prices is up 17%. That's around $57.5 million. And for Kamsarmax, the equivalent increase is 12%, up to $26 million. Ultramax prices have also increased by about 17% to $25 million over the same period. The bulk carrier new-building price index was up by 6% year-on-year amid competition for yard space across all vessel sectors and continuously increasing labor costs. Looking briefly at the order book. According to Clarksons, the Panamax order book stood at the end of 2023 at 29.8 million deadweight, equivalent to about 11.7% of the existing fleet. For Cape, the equivalent numbers are 22.5 million deadweight and 5.7% of the existing fleet. For the Handymaxes, the order book stands at 22 million deadweight, which is about 9.3 million -- 9.3% of the trading fleet. Overall, there are about 85.8 million deadweight worth of bulkers on order, representing about 8.5% of the trading fleet. Turning to Slide 22, the outlook for our industry. Commodore Research remain bullish for the overall dry bulk market. The dry bulk market is continuing to enjoy historically strong rates through this time of the year. This has led to a jump in period activity as the FFA market supports the hedging of such contracts by time charters. A positive factor in the dry bulk market according to Commodore Research is that the Indian economy is doing so well, and coal imports are increasing, while hydropower output in that country remains in a phase of contraction. Dry bulk carrier demand should be supported this year by China purchasing large volumes of dry bulk commodities that benefits from any weakness in global commodity prices. This strong import appetite was seen last year, and Commodore Research see no reason for this to be reversed in 2024. Finally, even though predictions vary depending on the assumptions made Clarksons predict that compliance with emissions regulations such as EEXI and CII, would reduce available [bulker] (ph) supply by between 1.5% and 2% per annum out to 2025 through slower speeds and ESD retrofit time. Clarksons remind us though that uncertainties on the demand side remain with Chinese dry bulk demand growth facing challenges from the property sector and the sensitivity to the Chinese government steel and energy policies. Diana's business strategy and chartering policy remains steady. And this chartering policy will allow us to take advantage of any upcoming increase in bulk carrier earnings. While at the same time, the strength of the company's balance sheet remains the top priority as has always been the case. I will now pass the call to our CEO, Semiramis Paliou, for summary of the company's priorities and future goals. Thanks.
Semiramis Paliou: Thank you, Stasi. Before we open the call up to question-and-answer session, I would like to summarize the key points from today's presentation. Firstly, our dedication is on generating and securing positive free cash flows. Through prudent and active management of our balance sheet, we aim to capitalize on the opportunities presented. Secondly, we are proactive in renewing and modernizing our fleet, enhancing our ecological footprint in greener investments, aligning with our sustainability and environmental responsibility. Thirdly, our dedication persists in adhering to a strategy that offers stability in a cyclical business while striving to maximize long-term shareholder value. Thank you very much. We can now -- I will turn the call back to our operator for the Q&A session.
Operator: [Operator Instructions] Our first question today is coming from Kristoffer Skeie from Arctic Securities. Your line is now live.
Kristoffer Skeie: Hello. Congrats on another good quarter. I was just wondering if you could comment on the balance sheet and investments in equity securities of $20.7 million as of year-end? And is that related to this offshore joint venture or…? Yeah, thanks.
Ioannis Zafirakis: This is an investment that we have. We do not have to disclose the details of that investment. It's not material enough that we need to do a filing. So unfortunately, we cannot disclose.
Operator: Thank you. We have reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments.
Semiramis Paliou: Thank you very much for joining us today and look forward to seeing you at our next earnings call. Thank you very much.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.